Operator: Greetings, and welcome to The Lovesac Company Second Quarter Fiscal 2026 Earnings Call. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Caitlin Churchill, Investor Relations. Thank you. You may begin.
Caitlin Churchill: Thank you. Morning, everyone. With me on the call is Shawn Nelson, Chief Executive Officer, Mary Fox, President, and Keith Siegner, Chief Financial Officer. Before we get started, I would like to remind you that some of the information discussed will include forward-looking statements regarding future events and our future financial performance. These include statements about our future expectations, financial projections, and our plans and prospects. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the company's filings with the SEC, which includes today's press release. You should not rely on our forward-looking statements as predictions of future events. All forward-looking statements that we make on this call are based on assumptions and beliefs as of today, and we undertake no obligation to update them except as required by applicable law. Our discussion today will include non-GAAP financial measures, including EBITDA and adjusted EBITDA. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results. A reconciliation of the most directly comparable GAAP financial measure to such non-GAAP financial measure has been provided as supplemental financial information in our press release. Now I would like to turn the call over to Shawn Nelson, Chief Executive of The Lovesac Company. Shawn?
Shawn Nelson: Good morning, everyone, and thank you for joining us. I'll start today by sharing a high-level overview of our second quarter results, provide an update on our Design for Life product platforms, and touch on our views for the remainder of the year before passing the discussion over to Mary Fox, our President. Mary will discuss our tailored customer acquisition engine and key growth enablers. Finally, Keith Siegner, our CFO, will review our financial results and provide more detail on our Q3 and fiscal 2026 outlook. Turning to our second quarter. Overall, we are pleased to have delivered results in line with or slightly favorable to our expectations across all metrics, representing another quarter of top-line growth driven by our secular growth initiatives across Design for Life product platforms and efficient customer acquisition engines. For the second quarter, total net sales were $160.5 million, reflecting a year-over-year increase of 2.5%. These results reflect market share gains, despite the ongoing headwinds facing our category, which we estimate declined approximately 4% for the comparable period. Total omnichannel comparable net sales increased 0.9% for the quarter, with additional growth coming from new and non-comp touchpoint contributions. Our balance sheet remains very healthy, with inventory levels and net cash providing substantial flexibility to weather tariff distractions, accelerate growth, and enhance returns on capital. This is a very exciting time for The Lovesac Company. While the home category and high-ticket consumer goods in general have been under pressure for years now, with many in our industry waiting for an eventual recovery to the housing market and a normalized furniture replacement cycle, we've been both controlling expenses for efficiency and protecting significant investments in innovation to create meaningful long-term value for all stakeholders. And we've done this while maintaining annual profitability and a very strong balance sheet. In our December 2024 Investor Day presentation, you may recall, we used the analogy of an oak tree to represent the brand that we are focused on building here at The Lovesac Company. Wide, tall, strong, and durable. Currently, the outside world sees only a few of the branches of this tree, namely the sectionals and the sacks, along with a few accessories and ancillary products around the edges. But we promised new branches over the next coming years, some representing entire new rooms of the home. It was then that we unveiled the first new platform launch or brand new branch to this tree, a platform still in the living room, the EverCouch. The new EverCouch is in the midst of its debut with new, fresh advertising support rolling out right now. Mary will speak to our observations and successes with EverCouch in more detail in just a few minutes. But as we refined our strategic roadmap for this pivotal transition from a product-focused company to a true brand, it became clear that we needed to sharpen and focus our position through a brand evolution refresh for The Lovesac Company. This brand evolution work has been going on over this past year in collaboration with a world-class branding and design firm. And it's been fortuitous that our talented new CMO, Heidi Cooley, is fully onboarded now and able to spearhead this effort to its completion. This work has laid a clear and reliable foundation whereon we can build The Lovesac Company into a multifaceted home brand with an organized and prioritized product hierarchy and merchandising strategy. This will not only allow us to confidently extend the brand further but also deeper into the categories where we already have strength in order to compete even more vigorously for market share. To that point, we see many opportunities to rapidly harvest The Lovesac Company brand equity, earning more revenue and margin dollars from existing markets and customers through incremental new product development and channel expansion. We believe this is our fastest and most credible path to more profitable and secular growth in the near term as we strengthen the core at The Lovesac Company. Even before we utilize this broader framework to compete in the new rooms, in pursuit of the more radical growth opportunities that are still more than a year away. This brand evolution work and new product hierarchy has also led us to rethink everything from new product naming to some new products themselves and the channels through which some of these new and even existing products can and should be offered. More to come on that, but, yes, we see significant new channel opportunities, particularly some of the new products that we are close to announcing that are still in the living room space. Meanwhile, to better align with this new product and channel strategy, we have chosen to rename the EverCouch product line to be called Snug by The Lovesac Company. The advertising went live this week with a fresh new look and feel, as you'll likely see on TV and digital platforms over the next few weeks. It suits the product better. As the Snug product line, consisting of the Snug sofa, the Snug loveseat, and the Snug chair, is everything that The Lovesac Company has to offer. It's washable, upgradable, shippable, movable, snugly, and comfortable, but in a bit smaller package that can always fit any space and look forever new. We're excited about its performance to date and its rollout recently expanded to 100 of our physical locations already. We promise to share in more detail the results of our brand evolution work, our product roadmap and hierarchy, and channel strategy over the coming quarters as we bring incremental elements to life. But rest assured, while we are proud to have taken significant market share even in these tough years for the category, remember, we were recently ranked number nineteen on the largest home furnishings retailer list by 3.7% from May through July, with July being the best of the three months. It's too soon to count on July as a bend in the trend since we've seen stronger months arise occasionally in the past year. As such, our baseline for planning purposes remains unchanged from our initial outlook, which is a full-year furniture category that is down mid-single digits. As for net sales, we remain focused on what we can control. Like I said earlier, we aim to leverage our secular growth initiatives to drive growth. We grew in the fiscal first and second quarters, and as Keith will detail later, we forecast growth for the full year even without the category supporting us. Within our original annual net sales guidance. As for profitability, these are very unusual times with the rules changing on us regularly, especially as it pertains to tariffs. Last quarter, we highlighted that barring materially different scenarios, we felt we could cover the potential impact of tariffs, increased competitive discounting, and the Best Buy exit fees with our previous annual guidance. We have numerous tools available to us given our unique model with high product margins, geographic redundancy, and strong vendor relationships. We've made solid progress on mitigation, including select price increases taken early in the fiscal third quarter. However, with incremental worsening in the tariff backdrop and continued pressure on competitive discounting, we have lowered our gross margin range and impacted the bottom line ranges accordingly. Importantly, we have identified additional measures that will benefit gross margins beginning later this year as well as over the coming quarters, which we believe will support the high fifties near 60% level we previously discussed over time. Keith will provide our updated guidance ranges in a few minutes. But in short, we estimate fiscal 2026 to be another solid year of market share gains with absolute growth in a down category. Through selective pricing, tightly managed controllable expenses, and efficiencies in marketing spend, we believe we can expand bottom line profit margins and dollars to the midpoint of the range and end the year with a strong foundation for the future. In conclusion, we are committed to delivering on our objective. Leveraging The Lovesac Company's innovative product offerings, strong consumer relationships, and operational excellence to grow irrespective of the category in the near term while maintaining clarity around long-term thinking and value creation. Our refreshed brand evolution work now unlocks the next phase of execution against our ambition of reaching our goal of 3 million Lovesac households by 2030 and building the most loved home brand in America. And while we aren't sitting around waiting for it, we believe that when the replacement cycle for comfort seating ramps up and housing turnover reaccelerates, which is one day closer than it was yesterday, The Lovesac Company will be ready to capitalize on it immediately. This added revenue growth should drive even more flow through of top-line growth to bottom-line growth and additional margin expansion beyond that that is supported by our secular initiatives. Finally, I want to thank our dedicated team members who worked tirelessly to bring our innovations to market and deliver an exceptional customer experience. Every one of you is helping to reshape the home furnishings industry with products that are designed for life and thereby creating long-term value for all stakeholders. Before I hand it over to Mary, we'd ask everyone on this call for a moment of silence to remember the victims and survivors of the 9/11 attacks, the brave men and women who responded that day, and the families who continue to grieve. We'll do that now.
Mary Fox: Thank you, Sean, and good morning, everyone. Building on Sean's overview of our Design for Life and our strong results for quarter two, I'll now focus on our second superpower, our customer acquisition engines that are uniquely tailored to each of our Design for Life platforms as well as our growth enablers that are fueling our momentum. As a reminder, what makes our customer acquisition engines so powerful, a superpower in effect, is our ability to leverage different mixes of brand and performance marketing, digital configurations through lovesac.com, incredible showroom experiences, and efficient partnerships to optimally affect by product platform. Done wisely, we can efficiently generate customer awareness, convert that awareness into customers, and ultimately build long-term relationships and brand love. Starting with brand and performance marketing, Sean shared some initial highlights of our brand evolution work and what's to come. And you'll see a lot more of this work cascade through marketing in coming quarters. That said, we are already beginning to optimize our marketing mix as we build awareness of our brand and excite our customers both with our core Design for Life platform and our new innovations. In quarter two, we leaned into mid-funnel tactics. Encouragingly, traffic and return on ad spend increased versus last year, driven by our refocus on CTV and YouTube, with plans to expand these partnerships in the second half of the year, as well as leveraging answer engine optimization with Google and Microsoft. Our social media and partnerships team did a stellar job in quarter two, keeping love on the forefront of culture spanning all of our product lines. We partnered with influencer and author Eli Rallo to host an on-trend book talk themed event at Bibliotech in New York City. Key editors and influencers attended to experience the Pillow Sac Chair firsthand and listened to a special reading from Eli's upcoming book release, garnering over 227 million earned media impressions and 1.1 million social media impressions from 51 influencers. We also had two amazing partnerships in quarter two. For the final week of the 2025 FIFA Club World Cup, Michelob Ultra and The Lovesac Company popped up at the Pitchside Club in New York City. The Lovesac Lounge was the ultimate comfy spot to watch the matches, complete with Sactionals with StealthTech and custom Michelob Ultra soccer ball-themed sacks and specimens. We then collaborated with Van Leeuwen, a Brooklyn-based ice cream brand, for their national ice cream day campaign that celebrated the tenth anniversary of their best-selling flavor, Honeycomb. We created three limited edition Van Leeuwen ice cream snack cupboards inspired by their fan-favorite flavors, including honeycomb, strawberry, and Sicilian pistachio. This was a 360-degree partnership with PR, influencer, events, organic social, email, SMS coverage, and website placement, and garnered over 40 million total earned impressions. The Lovesac Company's unique positioning combined with activation capability allows us to move quickly at the speed of culture. And in quarter two, we jumped into viral trending topics such as Coldplay Kate, Love Island, and Lububu, which performed two times stronger than our benchmark. Before moving on to our digital configurations, let's spend a minute talking about our most recent innovation, Snug, a massive opportunity for us which puts The Lovesac Company squarely into the $14 billion couch category. This new product line, which features not only stylishly adaptable couches but also loveseat and chair options, was soft-launched in quarter two in 27 showrooms and on lovesac.com with a learning agenda focused on our selling experience. Initial results from the soft launch look promising, and this will build as we've already expanded the number of showrooms in quarter two to 100 and growing. However, beginning earlier this week, and with full rebranding in place, we launched our formal marketing campaign. You'll see many of the brand and performance marketing elements we've already discussed coming to life. It all begins with an engaging campaign leveraging one of the hottest and culturally relevant celebrities, Britney Snow. This is just the beginning of many new ways we plan to effectively build The Lovesac Company into a home brand that is trusted and loved by customers. All informed by the brand evolution work we're completing, and we look forward to sharing more in coming quarters. Second is our digital configurations and how we bring The Lovesac Company to life online. As we launch new product lines, Snug, we continue to invest in optimizing the digital experience. Through our research, we know that customers shop differently for sectionals versus couches and chairs, and our digital team undertook extensive testing of both the website and homepage design. And as a result, we significantly improved the top navigation, implementing a more intuitive design based on furniture shopping behaviors and quicker product finding. Since launch, customers are more engaged, and they're converting at a higher rate with improved bounce rate. All contributing to one of our highest recorded digital customer scores in quarter two. Also continue to advance our customer reengagement center, MyHub, always with a goal of being a frictionless omnichannel experience for new and repeat purchases. In quarter two, over 20% of EverCouch, now Snug transactions, from existing customers. Which further illuminates the opportunity for us to connect with our current customer base as we launch new products. Third is our showroom experience, the physical brand amplifiers of our Design for Life products, and the linchpin of our omnichannel model. In quarter two, following on from the soft launch of Snug in 27 locations and lovesac.com, we continued our expansion of this product line to just over 100 locations at the end of Q2, with a plan to complete the balance of the chain in quarter three. To support this exciting new program, our training and operations team, along with Sean, conducted full-day hands-on training sessions across our key markets. Early results are encouraging, and we've seen customers adopting this new platform even ahead of our national launch campaign. In addition to the updates to performance-based compensation that we shared in quarter one, we've advanced our efforts to provide performance visibility across the field in quarter two through the launch of improved performance dashboards. We're supporting our retail chain through improved visibility into sales and team performance, labor efficiency, and customer experience. We've also launched a digital quote management tool, which not only supports increased quote conversion but also strengthens the omnichannel customer experience through the delivery of consistent quote follow-up and communication nationwide. Finally, complementing our showrooms is our partnership model. As we shared in quarter one, we've continued to evolve our thinking to support our customer acquisition engine, which includes enhancing our focus on more profitable growth and improved customer experiences. This led us to end our Best Buy partnership, we outlined last quarter. I'm pleased to share that we've successfully completed our Best Buy exit on September 2, ahead of plan and under budget. In regard to our Costco partnership in quarter two, we piloted and scaled an enhanced Costco display model that elevates The Lovesac Company experience within a compact footprint. Updates included the addition of StealthTech demonstration capabilities, supported by a new StealthTech video test in two key markets, which is planned to expand to new markets throughout the remainder of the year. The updated tower design optimizes the footprint, creating space for recliner demonstrations and the addition of the Snug chair. These enhancements position us to flex our assortment and deliver enhanced customer experience throughout our Costco roadshow event. When combined, these four elements of our customer acquisition engine create an unmatched customer experience that drives brand love and enables long-term relationships, and we are reinforcing this even further with our customer-facing services. Since our quarter one launch of Love to Buy Love Sac in Texas, our new resale platform has rapidly expanded into five additional states, giving even more customers access to pre-loved products. With additions like the Pillow Sac Chair and StealthTech combination, we're not only expanding our range offering, we've laid the foundation to unlock trading capability for our customers. This will begin with a customer pilot later this year and will ensure a seamless experience before scaling next year. And all of these actions strengthen our value proposition of Design for Life products that are built to last, designed to evolve, and ready to be loved again. Key to us sustaining this long-term profitable growth are our growth enablers, within our supply chain playing a pivotal role. As I shared before, our supply chain is purpose-built for scalability and designed to support new product and platform introduction. Our team has done a terrific job both in transforming our supply chain and also delivering strong progress in mitigating the industry-wide exposure tariff costs as evidenced in the outlook that Keith will share shortly. To address tariff headwinds, we deployed a four-point mitigation plan back in April. And I'm pleased to report strong progress across all fronts. The first is focused on managing costs by working with our long-term vendors for concessions. We've received support from every key vendor enabling us to reduce costs. Second is manufacturing diversification, including the work to further diversify manufacturing away from China with our long-term partners. We remain on track to be mid-teens for China for the full fiscal year but with an exit rate well below that. Third is strategic pricing. And as I shared before, we took some informed price increases. These increases were determined following a deep dive into our overarching competitive price positioning against numerous options in the consideration set for our customers. We feel very comfortable with where and how The Lovesac Company is now positioned. Appropriate for the quality, style, features, and benefits each of our products has to offer. Additionally, the work helped us better understand the elements of our value proposition. We immediately developed and rolled out training and tools throughout the field organization, making it easier for all of our team members to convey to customers the specific value inherent in our Design for Life product platform. And the final initiative for us was cost efficiency. We've achieved and continue to identify cost savings across the business. Lastly, I really want to recognize our team for their swift and strategic execution. Thanks to their efforts, we believe that this four-point plan will mitigate the majority of the current tariff pressures. And with that, I'll now hand over to Keith to share more on our financial performance and outlook. Keith?
Keith Siegner: Thanks, Mary. Let's jump right on into a quick review of the second quarter, followed by our outlook for the rest of the fiscal year. As we begin with performance metrics, please note that all references to the second quarter refer to fiscal 2026 unless otherwise noted. Net sales increased $3.9 million or 2.5% to $160.5 million in the second quarter compared to the prior year period. Showroom net sales increased $10.3 million or 10.4% to $109.1 million in the second quarter compared to the prior year period, driven by an increase of 0.9% in omnichannel comparable net sales and the net addition of 16 new showrooms. Internet net sales decreased $1.8 million or 4.1% to $42.5 million in the second quarter compared to the prior year period. Other net sales, which include pop-up shop sales, shop-in-shop sales, open box inventory transactions, and the Loved by Lovesac program, decreased $4.5 million or 33.6% to $9 million in the second quarter compared to the prior year period. The decrease was primarily attributable to the company's decision not to engage in any barter transactions during the current period. By product category, in the second quarter, our SAC net sales increased 4.6%. SAC net sales decreased 22.5%, and our other net sales, which includes decorative pillows, blankets, and accessories, increased 2% over the prior year. Gross margin decreased 260 basis points to 56.4% of net sales in 2026, versus 59% in the prior year period. Primarily driven by increases of 110 basis points in inbound transportation costs, 50 basis points in outbound transportation and warehousing costs, and a decrease of 100 basis points in product margin driven by higher promotional discounts. SG&A expense as a percent of net sales was 40.9% in 2026 versus 47% in the prior year period. The decreased percentage is primarily related to lower professional fees, credit card fees, and other overhead costs, as well as higher net sales. The improved expense leverage compared to our prior guidance reflects tighter expense management as well as lower Best Buy costs during the transition period and to the final exit of the relationship. On that front, during the quarter, we incurred approximately $1.9 million of total nonrecurring expenses related to the exit of our relationship with Best Buy, inclusive of fixed asset impairment, closure, and payroll expenses. Despite this expense, we reported a decrease in selling, general, and administrative expense dollars. This was primarily related to decreases of $2.1 million in professional fees, $500,000 in credit card fees, and $1.7 million in other overhead costs, partially offset by $1.5 million of impairment charges related to the Best Buy partnership termination, and increases of $600,000 in payroll, $500,000 in equity-based compensation, and $100,000 in rent. Rent increased by $100,000 related to a $500,000 increase in rent expense from our net addition of 16 showrooms, partially offset by a $400,000 reduction in percentage rent. We estimate nonrecurring incremental fees associated with the restatement of prior period financials were approximately $400,000 in the second quarter. Advertising and marketing expenses increased $200,000 or 0.7% to $23.5 million for the second quarter compared to the prior year period. Advertising and marketing expenses remained relatively flat at 14.6% of net sales in the second quarter as compared to 14.9% of net sales in the prior year period. Operating loss for the quarter was $8.8 million compared to $8.4 million in the second quarter of last year, driven by the factors we just discussed. Before we turn our attention to net loss, net loss per common share, and adjusted EBITDA, please refer to the terminology reconciliation between each of our adjusted metrics and their most directly comparable GAAP measurement in our earnings release issued earlier this morning. Net loss for the quarter was $6.7 million or negative $0.45 per common share compared to a net loss of $5.9 million or negative $0.38 per common share in the prior year period. During the quarter, we recorded an income tax benefit of $2.1 million as compared to $1.8 million in the prior year period. Adjusted EBITDA for the quarter was $800,000 as compared to $1.5 million in the prior year period. Turning to our balance sheet. We ended the second quarter with a healthy balance sheet to provide substantial flexibility to invest in growth to enhance long-term value creation for shareholders. We reported $34.2 million in cash and cash equivalents while retaining $36 million in committed availability and no borrowings on our credit facility. First, our total merchandise inventory levels are in line with our expectations that we last quarter. We began reducing excess core inventory levels in the second quarter, which helped offset the working capital required for building EverCouch, now Snug, weeks of stock. We feel very good about both the quality and quantity of our inventory and our ability to maintain industry-leading in-stock positions and delivery times. And believe we can end fiscal 2026 with lower dollars of inventory than that held at the end of both the second quarter and at the end of fiscal 2025. Second, nothing has changed in our strategy to allocate excess capital opportunistically. A focus on long-term value creation and enhancing returns on capital. Given significant uncertainty and macro backdrop owing to tariffs and consumer spending in the near term, we did not repurchase any of our common stock during the second quarter. Year to date, we've repurchased $6 million of our common stock outstanding, we have approximately $14.1 million remaining under our existing share repurchase authorization. Please refer to our earnings press release for other details on our second quarter financial performance. So now for our outlook. As Sean mentioned, we experienced modest but not overly material improvement in category trends in the fiscal second quarter, but nothing significant enough for us to alter our assumption in our plans for a 5% full-year category decline. While our new ranges imply improving net sales growth rates in the fiscal fourth quarter, we have many secular tailwinds helping counter the category outlook and providing optimism. These factors range from annualization of fiscal 2025 major product launches, our recent launch of Snug with the marketing program having just launched this week, a broader reboot of our marketing strategies, informed by our brand evolution work that Sean just discussed, growth in physical showrooms, more compelling financing offers through The Lovesac Company credit card, and an easy comparison given missteps during the cyber five holiday period last year. For the full year fiscal 2026, we are tightening our net sales guidance range to reflect 4% to 9% growth for the fiscal year. We are also favorably adjusting our forecast for controllable expenses within SG&A, for efficiencies in marketing. However, while we have made great progress managing the impacts of ever-changing tariffs and, to an extent, competitive discounting pressures, our guidance ranges assume some pressure from gross margins flow through to adjusted EBITDA, net income, and EPS. These will be most pronounced in Q3. We have identified additional measures that we expect will benefit gross margins beginning in Q4 and supporting a path to achieve the high fifties near 60% level we previously discussed over time. Specifically for the full year, we estimate net sales of $710 to $740 million. We expect adjusted EBITDA between $42 million and $55 million. This includes gross margins of 57% to 58%, advertising and marketing of approximately 12%, as a percent of net sales, and SG&A of approximately 40% to 41% as a percent of net sales. We estimate net income to be between $8 and $17 million. We estimate diluted income per common share in the range of $0.52 to $1.05 and approximately 16.3 million estimated diluted weighted average shares outstanding. For the third quarter, we estimate net sales of $151 to $161 million, representing mid-single-digit revenue growth at the midpoint and representative of our near-term plans for tariff mitigation. We expect adjusted EBITDA loss between $1 million and $7 million. This includes gross margins of 56% to 57%. Advertising and marketing of 14%, as a percent of net sales, and SG&A of 47% to 49% as a percent of net sales. We estimate net loss to be between $8 and $12 million, estimate basic loss per common share, to be $0.51 to $0.83, with 14.7 million weighted average shares outstanding. In summary, stabilization of the category and an eventual return to category growth are ahead of us even if that's timing is unclear at the moment. In the meantime, we are balancing prudence and efficiency with our belief that it's essential to stay focused on the big picture. That's the massive long-term opportunity for tremendous value creation for all The Lovesac Company stakeholders. We are building The Lovesac Company brand and investing in new product innovation that spans style, function, and category to support a powerful multiyear secular growth outlook with macro upside exposure as icing on the cake. With that, back to you, operator. Thank you.
Operator: At this time, we'll be conducting a question and answer session. If you'd like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press 2 if you'd like to remove your question from the queue. It may be necessary to pick up your handset before pressing the star keys. Our first question comes from the line of Maria Ripps with Canaccord Genuity. Please proceed with your question.
Maria Ripps: Great. Good morning, and thanks for taking my questions. First, so as you undertake your brand evolution sort of refreshed, do you anticipate any changes to the customer acquisition approach or maybe marketing effectiveness here in the near term?
Shawn Nelson: Yeah. We have so much happening on the brand and marketing front that, you know, that I think that's gonna be a major theme actually for the next few quarters. We have, as you know, this brand refresh just coming to prime time. We have the Snug campaign that launched this week. And we have a new CMO onboard who's insanely talented and really excited to, you know, be taking those controls. And so I think that you're going to see a lot change in the way that we go to market at The Lovesac Company and the way we deliver our advertising, in the way we communicate. And I think you can already see it reflected in this campaign with Snug, which is, you know, really unique. We've got one of the hottest celebrities out there right now representing this product, aligned with the brand. You know, you'll be seeing Britney Snow on all the social channels. You'll be seeing a lot of really it's not just exciting creative, but you know, a new aesthetic to it. And I guess the cool part is because of the timing of that particular launch, at least forced through a lot of the change in tone. In the way that we go to market and spend our money to reach prime time faster even with Heidi Cooley's, you know, more recent onboarding. So it's all coming together great. And, Mary, I don't know what you might add on customer acquisition and our spend.
Mary Fox: No. I think, you know, Maria, you know, Sean said you you'll see it. Hopefully, you got to see the Snug campaign launched earlier this week, and, you know, it's just so critical for us in in terms of kind of the campaign is around showing the couch category that anything they can do we can do better. And I think we're just getting a lot more confident and clear in our messaging around our value proposition, and really how do we find the eyeballs that are, you know, considering, you know, a purchase in their home and and how we get them to see us as the right choice and and to be able to convert them. Meanwhile, we can continue to just build the full funnel as we always have, and you see that in our results in terms of the success of continually, you know, gaining market share. For everything. But every platform we have, we're just very targeted. In how we approach it. As Sean talked about, some of the work under BrandEVO, we, you know, we've built out a very clear product hierarchy. We'll share more with you over time. It's just gonna enable us to be a lot more targeted in terms of how do we maximize, you know, the potential for all of our products, whether it be in all of our showrooms or even honestly, getting a much greater level of velocity, you know, on our website. So it's just been really good work, to really help us be able to pull open the brand in this multifaceted strategy that we have for the home and and know, we'll be delivering over, you know, Sean said, the coming week with all the campaign and then, you know, months and years as we really are building this for the long term. So thank you for the question.
Maria Ripps: Got it. That's that's very helpful. And then I wanted to ask about Snug and sort of now that it's the product is launched in more than 100 showrooms, can you maybe help us think about sort of the type of partnerships or distribution partnerships that would would be sort of most complementary for this platform?
Shawn Nelson: I think it's too early to speak to any specifics, but let's go to first principles. It's always where I like to start. You know, the reality of Sactionals is that it is a wildly it is the simplest wildly complex product platform you could imagine. Right? Just buy a bunch of seats, buy a bunch of sides, build anything you want. It could be deep. It could be long. You can deep pillows, and and all of a sudden, the platform, you know, has complexity. That is really of course, indicative of its design for of designed for life nature. This is the product to be with you the rest of your life. Snug is much simpler. You still get almost all of The Lovesac Company benefits you're used to. Right? It's washable. It's somewhat changeable. But it doesn't require the intricate demo in-person experience that, for instance, Sactionals has. And this product platform's ability, therefore, to appear perhaps in environments that aren't The Lovesac Company owned and operated and and staffed is apparent. And it's really influenced our thinking about, you know, future products as well. You know, you could imagine future products more analogous to Sactionals that deliver an extremely high design for life ranking that that that require some hand holding and some demonstration. And you can imagine, more products like Snug that represent the brand well, have the best quality, but don't require such intimate demonstration experiences. And so the first and most important channel for Snug is our website. You know, this is this is a beautiful sofa that sits amazingly well, has storage big enough to to fit Britney Snow in it. As you'll see, her climbing inside of it actually in some of the campaigns. Pretty funny. And, but but, represents the brand well, but doesn't you know, necessarily need as much demonstration and whatnot. And so I'm giving you a haphazard description of this product hierarchy that we are not haphazard about. We have now a much clearer picture of how we can deliver sales. And to that end, expand our channel strategy with these products that don't require in-person demos. That's the key to it. And so I'll just leave it at that because it's too soon to announce new partnerships. But we are excited about, both online and offline opportunities with products that can represent the brand in this way.
Maria Ripps: Got it. That's, that's very helpful. Thank you both.
Operator: Thank you. Our next question comes from the line of Michael Baker with D.A. Davidson. Please proceed with your question.
Michael Baker: Okay. Thanks. You talk about a little bit more detail on what has changed in terms of the EBITDA outlook versus a few months ago? You said tariffs, you said promotional activity. Is one of those bigger than the other? And and on tariffs, maybe don't if you can help us with a little more specificity. I thought, you know, sort of tariffs are coming in lower than expected. At one point, you know, we're expecting over a 100% in in China. So so what are the tariffs is worse than expected, and how much of the reduction in guidance is due to the promotional activity?
Mary Fox: Hey, Mike. Look, I'll take the tariff piece and then I'll turn back to Keith in terms of the EBITDA outlook. So I think when we last reported back in June, you'll remember the reciprocal rates for many of the key countries that we source from, such as Vietnam, Malaysia, and The were actually sitting at 10%. And then, you know, more recently, they actually it pretty much doubled, with most of at 20 or 19. So I think that's has stepped up. From when we last reported. So that's built in to the guidance that, you know, obviously, Keith shared through. And in the meantime, you know, we just continue to work on moving more products, you know, out of China, which, you know, have the heaviest weight of tariffs, the team have done a good job on that. Some things are a little bit slower. To move out such as some of the technology and and if custom fabrics. So it's just put a bit more waiting for us. But Keith, I'll turn to you for Mike's question on the EBITDA outlook.
Keith Siegner: Yes. Thanks, Mary. So and thanks, Mike. It it really is a a gross margin topic, Mike, as you're aware. I think the as you could see through the other line items think we're doing it you know, we're doing a great job managing the controllable expenses, leveraging and gaining efficiencies through the marketing. So let's talk a little bit more about that gross margin piece and also as you look to the year over year deltas in the fourth quarter, we're closing that gap somewhere. We anticipate closing that gap somewhat. Let's talk about that for a second because the pressures are really twofold. It's sort of the perfect storm of the tariffs and to be frank, the requirement that we increase the promotional discounts that we're offering given the competitive backdrop. You know, those the combination of those two things were more punitive to the model in the near term than we had expected last quarter when we gave you the guidance. So let's talk about the fourth quarter step up for a second there in terms of the year over year delta. Look, it's important to note that the fourth quarter lap for us from a gross margin perspective is easier than it was in either the second or third quarter. That's because last year's fourth quarter saw a meaningful step up in our effective discount level we ramped promotions following that tough start to the holiday selling season. This is the largest single driver of the improved year over year delta in Q4 as it compares to Q2 and Q3. The other piece of this is is partially tied also not only just to the change that Mary mentioned in the the in the effective tariffs on a few of countries, but it has to do with our exposure to China sourced goods. It's gonna be lower. We anticipate it's gonna be lower in Q4 than what Q3 or Q2. And that lessens the tariff burden on the P&L. But the price increases we took in Q3 actually remain consistent. So here here's two things that kind of happened. First, it's been harder to get custom and stealth tech manufacturing out China than we originally anticipated. We've made great progress. We have good visibility into it now. But it did take a little longer than we thought last quarter. And the second piece of this is a little bit of what we anticipated from the China sourcing to hit into February moved into 3Q. Which concentrates that effect. It's substantially higher as a percentage of net sales in Q3 than it is in Q4 or Q2. And, again, you you know, that that was a little bit on the timing related to our prior guidance. These are these are very unusual and exogenous factors that we're dealing with here. But, you know, as Sean mentioned earlier and as I mentioned, as well, we've got quite a few plans in place to get us back to those, know, let's call it, like, long term levels over time. That we've discussed in the past.
Michael Baker: Okay. Thanks for that color. If I can ask one question of Sean. Sean, I think you had said new new maybe I don't know if you simply call it the new room, but but it sounded like a a big new launch new room potentially. You said at least a year away. That sounds like the end of calendar 2026. Is that I thought it was gonna be sort of earlier in 2026. Maybe maybe I misinterpreted that. But is that new launch, new room, that you have teased, is that being pushed out at all?
Shawn Nelson: No. I mean, it's a general comment about these big changes coming in the future. I will say the idea that it would come early in calendar '26 is is not realistic. I think that we do have actually a lot of action between here and the new room if you can believe that. We have a lot of, really exciting things to be announcing over the next few quarters. But as it turn as as we me put it this way. As we look at advancing into the next room, we've been very clear that that's coming. We will be entering that realm in a fulsome way. And that I think is going to be really exciting and and pretty game changing for the brand. And it's not going to be a trickle. And so we still got a little bit of time between here and there. I think that's a decent breadcrumb. But, in the meantime, we also have, lot of really exciting products to launch in the living space that, you're familiar with. So it's a good call out.
Michael Baker: Got it. Okay. One more if I could. Any change? I mean, I presume not. We haven't talked about it, but any change in that sort of long term outlook that you guys talked about at your Analyst Day, which which again, requires a pretty big ramp in in in terms of growth beyond 2025. So the 2025, a little bit of a off year and then and then growth in calendar 2026 and 2027. You know, and beyond, a much much greater ramp. Is that still the idea?
Shawn Nelson: Yes, Mike. That's still the idea. Look. This year with all the tariffs stuff has been a little bit of a wonky year relative to that plan. Obviously, you know, there was no way to include that into that algorithm, and we're managing through it. And I think we've got good plans to to get through it and then get back on on track. So there's always gonna be a couple little things like that. You you know, it's interesting. When you're at the margin level, we are at particularly at the bottom. You know, little deltas and basis points can make a big big difference at the bottom line EPS. But that's the opportunity here too. And we get through this tariff stuff. We get back on the algorithm. There's tremendous upside at the bottom line with very small changes in basic points and flow through from the top line. So nothing fundamentally has changed on that. Little bit of noise this year because of the distractions, but still feel great about the the long term.
Michael Baker: Right. Thank you for the call.
Operator: Our next question comes from the line of Eric DeLonier with Craig Hallum Capital Group. Please proceed with your question.
Eric DeLonier: I appreciate the commentary you provided on sort of the the puts and takes on the EBITDA revision. Certainly sounds like it's mostly gross margin issue here. Could you expand on the levers you have to pull on expanding gross margins sort of midway through Q4 and into next year? It sounds like you're you're pretty confident, on your ability to do that and would love to just get some more color if you have it.
Keith Siegner: Yeah. Great question. So let's first step back for a minute and look at some historical context here because I think it's important for the overall conversation. For a number of years, The Lovesac Company reported gross margins in the low to mid fifties range. However, over the last couple years, we completely rebuilt the inbound logistics program. We implemented automated systems. We found other in operating procedures. In effect, we structurally reset gross margins to the high fifties, near 60 level. Right? And that's kind of what we were discussing in our investor day last year. While our latest full year guidance for this year reflects a range of 57 to 58, so still high in the historical context. It is below the high fifties near 60 level. We have identified measures to get us back on that path just like you talked about. So here's five I'll give you that we think can help. First, the outbound logistics opportunities still remain for us. We've made it through most of the inbound pieces, but now we can optimize warehousing. We can optimize last mile shipping. Test for these things are in the works, they're underway. That's number one. Number two, we continue to work on realignment of our countries of origins to minimize tariff and other costs. That's a much bigger conversation we're happy to get into. We are not done with that effort. There's a lot of opportunities still to work there. Some of which will take a couple years to put in place, but that that's a big part of this. And we're actively pursuing those levers. Number three, we're gonna implement new optional delivery service levels for payment. We also have new return policies and other things that can help us mitigate some of the gross margin pressures. Number four, as part of this brand evolution product hierarchy work, the Sean and Mary have talked about, we're gonna evolve our promotion strategy moving away, as Mary said, from sort of a broad based everything is included promotion, and more toward a variable strategy across products and channels. Right? We're we're this will be coming soon, and I think what that will do is help us in reducing aggregate discount levels, which puts pressure on the gross margin. And it's a big part of that change in EBITDA that I talked about a little while ago for this year. Look. In the last definitely not the least piece of this, is hopefully, when we come out of this you know, category decline and get back to growth or normalization even, the competitive promotional environment settles in and takes some of the pressure off the big tent pole moment. So, like, all of these things, we've got good you know, visibility into action plans that we're gonna be putting into place. So, you you you know, hopefully, that gives you some color.
Eric DeLonier: Yeah. No. That that was that was very clear and helpful here. One one kind of follow-up here. You cited the product hierarchy. In that answer there. It was it was come up a couple times, previously in this call. Just just to make sure I understand that here, is is is that sort of the differences that between the Sactional and the Snug? Now, for example, you know, one is sort of a more, you know, complex hands on, requires a lot of demos. The other is is, you know, more simple and, you know, perhaps know, easier to sell online kind of thing. Is is that what you're referring to by product hierarchy, or is there, other aspects of it that I might be missing?
Shawn Nelson: That is a I guess, front end outcome of the product hierarchy. We haven't revealed and discussed, like, this overall product hierarchy that I'm kinda talking about. But it's a good representation of of that kind of thinking, and it's been evolving in real time. You know, we we came up with the EverCouch invention in a approach to building beautiful super comfortable, sofas, armchairs, loveseats in a smaller package. You know, a a a while back as we've cooked up the product and whatnot, as the brand's been evolving, we've been going to this brand evo work with the with the outside agency. So as all of this has kinda converged, which you know, manifested itself, for instance, in the name change to Snug, which is a better name for that product line, and it fits within this product hierarchy I'm alluding to. You get that outcome. But the, so we'll we we have we'll have more to share, perhaps even next quarter. About this BrandEVO work what it, you know, what it implicates for the brand, the product hierarchy, etcetera. Again, you're gonna see us already living with it in real time as we launch now. You'll see this change in tone in the advertising and our approach to marketing in general. And it's a just a really, really exciting time for The Lovesac Company, and, frankly, I think it sets us up well further out for these bigger changes that are to come. But in the meantime, as I said, just a few minutes ago, you know, given this new point of view on on products for for new channels, products for the Internet especially, that just don't require so much handholding. You're gonna see a lot of action from The Lovesac Company over the next number of quarters that that we can be really excited about.
Eric DeLonier: Great. I appreciate that, that color there, and we'll look forward to that. Last one for me here. Just on the, you know, overall sort of marketing shift here, you know, EverCouch to Snug. It sounds like you know, there'll there'll be some more, you know, overall Lovesac. You know, fully brand wide refreshments here. I'm just wondering, you know, how how long this has been in the works. You know, it seems like this this switch from EverCouch to Snug is somewhat more more recently. I'm wondering if there's any sort of increase in marketing expenses that that you're expecting, you know, over the next quarters or years here to kinda support this? And, I I guess just a bit more color overall on, some of the, timing around this this brand refresh and the overall strategy behind it? Thanks.
Shawn Nelson: Yeah. Nothing meaningful in terms of marketing expenses. In fact, we should become more efficient with our marketing. You'll see a lot of tactical changes. Right? Like like, historically, you've seen The Lovesac Company. Evi on linear TV. It was a formula that worked really well for us. I think you'll see a pretty meaningful shift to digital. So it'll be a shift in dollars and whatnot, but nothing we're not, you know, we're not thinking about increases. We feel really good about our marketing spend levels. You can see us controlling our SG&A. And the good news is is that we've made this investment already. This brand refresh is now, you know, almost complete. And we've been absorbing those kinda hard costs. You know, with the agencies and everything required to do this. All along the way. And this is something I'm super proud of at The Lovesac Company. You know, as we've said, a number of times, the past three years have been brutal to the home category. You know, it's been a it's been a really tough time overall, and I think The Lovesac Company weathered it well, not just hunkering down. We are controlling SG&A and whatnot. That's pretty obvious. But we've been investing, and this is just one of. One of the many investments that we've made in you. So you're gonna see the fruits of those labors unfold in real time all the way, you know, through holiday season this year. Well into next year. And like I said, a continued, launch cadence of new products that you you you nailed it. Are really appropriate for online sales especially. And, you know, new representation in in the execution of those advertisements. And everything else.
Eric DeLonier: Alright. And I appreciate that color. It's great to hear. Thanks for taking my questions.
Operator: Thank you. Our next question comes from the line of Thomas Forte with Maxim Group. Please proceed with your question.
Thomas Forte: Great, Shawn, Mary, and Keith. Thanks for taking my questions. One question and one follow-up from me. So, Shawn, as you know, I cover Apple and I had to think about the prospect of an iPhone made in the USA. So how should investors think about the potential for The Lovesac Company made in the USA?
Shawn Nelson: Yeah. For anyone following, close enough, you know, this is a passion point for me. It has been for years. I'm sorry that we haven't delivered it sooner. It's but we have not stood still. And the answer is, we are running this down really hard. For for every obvious reason. But back to first principles, let's This is a brand that promotes sameness. In a way that no other brand does. A way that's good for consumers. Right? You buy into a Sactionals platform or even EverCouch. You'll be able to upgrade it, change it, even don't know, swap out the arms with the same fabric that you bought. Maybe four or five years ago. That will still match because that's the way not only we build the product, on a component basis, but we, you know, try not to drop our fabric so that you can do what I just described. That said, you're buying into a platform that, you know, demands us to maintain sameness. These same basic SKUs, the components that make up our designed for life clever products. Should be made closer to consumers delivered over shorter distances more sustainably, and, more readily. More ready more readily. And that's exactly what we're chasing down. On a first principles basis. We're closer to it than ever. So not ready to, you know, make any announcements yet. But I'm very confident that a significant portion of our manufacturing will be moving domestic over the next number of of quarters even. And and like any big shift, that will require a a lot of you know, it'll require a a folding in. It, you know, it won't be overnight, but within our grasp. And and and and I think we have a better path to that than almost anyone in our business because of the component basis of how we approach these inventions. It it really gives us a lot of economies of scale that others may not have. So we're excited about those prospects.
Thomas Forte: Great. Thank you for that. And then for my follow-up, to provide an update on your e-commerce efforts. Seems like that could be a great way for you to provide extra value consumers at a time they may be looking for it. And then also a way to mitigate the impact of tariffs.
Mary Fox: Yeah. No. Thank you, Tom. It's a great question. And, yeah, we are thrilled. As, yeah, as you remember, we announced back in quarter one about launching Love by Love Sac. Which is our resale platform. And, you know, initially, we went live in one state in Texas. We've now added five more states. And you're gonna see a lot more states, being added, and and you're absolutely right. I think it helps build our value proposition. Because it really shows that you can have this product for the rest of your life if you choose to. Then if you change your mind, you want different covers because you just want a different aesthetic. Then, you know, we will be able to build out that trade in element that we've also talked about. We're doing a pilot at the end of this year and then we'll have that really rolled out you know, next year. And I think, you know, we've always talked about activating the right size of our flywheel, enabling that customer lifetime value. It's a huge advantage for us. No one else can do it. It's something that we can do very profitably and effectively. But then also build that loyalty for our customers. So, just very excited to start to see that building. And look forward to sharing more as we continue to expand the state. So thank you for the question, Tom.
Thomas Forte: Thanks, Mary. And thanks for taking my questions.
Operator: Thank you. Our next question comes from the line of Matt Koranda with ROTH Capital Partners. Please proceed with your question.
Matt Koranda: Yes. Thanks. Just wanted to touch on the progression of the quarter. You mentioned the category improved, I think, across the quarter, and sustained into July. And perhaps into August. But did you see a pickup that was kind of commensurate with that in your own comp performance during the quarter? And and how have you tracked sort of relative to the category, quarter to date?
Mary Fox: Yeah. No. Thank you, Matt, for the for the question. So I think quarter to date, you know, we feel really good in terms of our underlying performance. Obviously, you know, having got through Labor Day events, you know, that's obviously a very key tempo moment for this quarter. And all of that is baked into our guidance and demonstrates continuing to gain share. Because while Sean talked about it at the beginning, the category showed a little bit more improvement. It's still down. You know, and as we've shown with our results, you know, we continue to gain that market share. I still see it being promotional, you know, and I think you're always very close to you know, tracking us and seeing what's happening in the category, and and it's just not stepping down from those holiday peaks, which is why Keith talked about that promotional pressure. So you know, for for us, it's it's really, you know, how do we continue to plan knowing that the macros are still challenging, customers are still a little bit more reserved around, you know, big purchases. So, you know, the tax around personalized offers and really driving them into the showroom. Is so important. But what's also really you know, positive for us is we're not seeing any trade down. So Lovesoft is actually at its highest level of penetration that we've seen for a long time. And you know that's a premium filter. Choice. Recliner is is the best innovation that we have launched, and it's you know, being factored into so many customers you know, purchased with us. So, you know, we just see a lot of of opportunity when we give them great product. Even though there are those pressures that, you know, we can win. So you know, we stay very close. We continue to test and learn through, you know, what continues to be challenging. As Keith touched on on the promotions. But, you know, very similar you know, through the quarter and and as we plan for the rest of the year.
Matt Koranda: Okay. Appreciate that, Mary. And then just curious the customer response, to some of the pricing actions you guys have taken on Sactionals, especially in the last few months. Has it changed conversion from the quotation pipeline in any way? Are you seeing sort of responses where folks trade into the, I guess, now Snug? What's what's the way to think about sort of the customer response to those pricing actions?
Mary Fox: Yeah. I mean, I think the one I'll I can really talk to because it's been a market for longer is, you know, we did a price increase back in quarter two. But we did see a very clear in terms of kind of our value prop and and all our competitors have taken price for years and even at the beginning of this year. So, you know, we feel very, very good around where we're positioned. But, certainly, from that, we haven't seen any trade down, you know, which I think kind of you your question down to opening price point fabrics from some of the higher fabric choices. And not seeing any shift from that increase in terms of the units that people are collecting. So, you know, I think that one, we feel very good on. The second one, we just put in place, so it's very early days. So we're just gonna keep a read on it. Customers, you know, they expected increases because I think they hear about tariffs and price increases pretty much every day at the moment. And and certainly, as our team, one of the key superpowers we have is around just the direct communication with our teams and really giving them great tools, the value proposition work we've just done actually made us feel even more confident about how great our product is. And really, you know, no one else comes close to it. So we've equipped them with even more tools to be able to tell that story and, you know, and and not seeing any resistance to date. But, again, you know, we've gotta stay close to it. Certainly, as the tariffs will put more pressure more broadly on the customer.
Matt Koranda: Okay. I appreciate that, Mary. And then maybe just for Keith, the gross margin progression, I know it's been covered a little bit, but I just wanna make sure I understand clearly. Third quarter, the headwind is really we're we're still not lapping the heavier promotions from last year, so we have the the heavier promotion putting pressure. On product margins and then heavier tariff pressure as well in the third quarter. But then that slipped to the positive or, I guess, flattish to positive gross that's implied in the guide comes from basically just lapping promos from last year and maybe just help us on help me understand that a little bit more.
Keith Siegner: Yeah. So couple things there. Number one, generally speaking, you you're you're right there, which is we didn't really step up the pace of promotional offers until the Q4 after the initial start for the cyber five holiday came in below our expectations. That's when we dialed up the the promotional intensity with gift with purchase, surgical offers that, you know, that were that were available to our showroom folks to get conversion rates higher, all that kind of stuff. That started mid Q4 last year. It had a meaningful effect on that quarter. So we still have a lower promotional intensity lap in Q3, which is a meaningful headwind. That largely goes away in Q4. That that that's the biggest piece. The second piece is if you think about it from a tariff impact as a relationship to sales because the I can't use dollars because the sales volumes are so different by quarter. But if you think about it from a, like, a relationship to sales, it's several 100 basis points more impact in Q3 from China tariffs and others than it was in Q2. And that eases off quite a bit in Q4. Not quite to the Q2 levels, but well below Q3. You put those two things together, and the midpoint of the range is really more like a flat grow sort of like flattish gross margin year over year. If you think of it that way, we're not actually calling for expansion in gross margins in Q4 year over year. But those two pieces actually give you the vast majority of the, you know, of the answer right there.
Operator: Our final question this morning comes from the line of Brian Nagel with Oppenheimer and Company. Please proceed with your question.
Andrew Chasanoff: Hi. This is Andrew Chasanoff on for Brian. Thanks for taking our questions. Just a few quick ones. In terms of just gross margin, are you guys thinking about what the unmitigated tariff cost for LOVE is right now? And does your guidance contemplate any further pricing actions in addition to what you already discussed?
Keith Siegner: I'm not sure about the first part of the question. We are not building in any incremental changes to the tariff regimes right now? So, for example, press that's been in place about additional considerations for furniture is a category that is not factored in. The guide. So we are we are using the current ineffect tariff rates as the basis for our outlook. There are many plans we have in place as I discussed that are gonna you know, some of which you know, take a little bit longer to put in place to get the gross margins back to the target low levels as I'd explained earlier. You know? And look. If the tariff regime changes again, all those plans will change again. Not just for us, but for competitors as well. So you you know, look, we as I said, we have lots of things we're working on in the background to improve the gross margins. We're not counting on those for the guide that you see in Q4. Right? That's more of a long term several quarters get us back there play. But, you know, we'll we'll continue to react accordingly as will most of the peer group. And, you know, if there is anything either know, materially negative or favorable that comes out of this, we you know, we're ready to adapt.
Andrew Chasanoff: Awesome. And then I can just follow-up quickly on a expense side. Understand that you discussed kind of the marketing in detail, but is there any reason to think that the expense profile of the business is changing as we go into back half twenty five and into '26?
Keith Siegner: No. Nothing material. The only thing I would point out to remind everybody is in Q4 of last year, we had an unwind of incentive compensation given a the the weaker than expected performance within the Q4. So this year, as we've said all year, we expect to have higher SG&A as a percentage of sales in Q4 than we did in Q4 of last year because, again, as we've been planning, we're not planning for an unwind of previously accrued incentive compensation like we saw year. So that that's the only thing to call out. You'll see that when you back into what Q4 guidance is. It is a higher SG&A in Q4, but that's the reason why there's there's there's nothing else. Which you can get to pretty cleanly from the full year minus the Q3. More structurally, as the growth continued to hopefully pick up, and we get some category support, you know, that in effect will drive same store omnichannel comparable sales for us. Which has far greater flow through. Than than some of the other pieces. So, look, again, if the category bounces back, the you get a big acceleration and step up in the amount of top line that flows through to the bottom line. So that's what we're hoping for. We're not counting on it. But we'll take it.
Andrew Chasanoff: Awesome. Really appreciate it. Thank you.
Operator: Thank you. This concludes our question and answer session. I'll turn the floor back to Mr. Nelson for any final comments.
Shawn Nelson: Just a big thank you to the investors that support The Lovesac Company and our pursuit of building the most loved home brand in America and to all those sackers out there that have made this company so great, onto a bright future. Thank you.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.